Operator: Ladies and gentlemen, thank you for standing by, and welcome to ChromaDex Corporation's, first quarter 2022 Earnings Conference Call. My name is Stephanie and I will be the conference operator today. At this time, all participants are in a listen-only mode, and as a reminder, this conference call is being recorded. This afternoon, ChromaDex issued a news release announcing the company's financial results for the first quarter of 2022. If you have not reviewed this information, both are available within the Investor Relations section of ChromaDex website at www.chromadex.com. I would now like to turn the conference call over to Brianna Gerber, Vice President of Finance and Investor Relations. Please go ahead, Ms. Gerber.
Brianna Gerber: Thank you. Good afternoon. And welcome to ChromaDex Corporation first quarter 2022 results investor call. With us today are ChromaDex's Chief Executive Officer, Rob Fried, Chief Financial Officer, Kevin Farr, and Chairman and Co-Founder Frank Jaksch. Today's conference call may include forward-looking statements, including statements related to ChromaDex's research and development at clinical trial plans, and the timing and results of such trials, the timing of future regulatory filings, the expansion of the sale of Tru Niagen in new markets, business development opportunities, future financial results, cash needs, operating performance, investor interest, and business prospects and opportunities, as well as anticipated results of operations. Forward-looking statements represent only the company's estimates on the date of this conference call, and are not intended to give any assurance as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could cause ChromaDex's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These risk factors include those contained in ChromaDex 's quarterly report on Form 10-Q, most recently filed with the SEC, including the effect of the COVID-19 pandemic on our business, results of operations, financial condition, and cash flows. Please note that the company assumes no obligation to update any forward-looking statements after the date of this conference call to conform with the forward-looking statements actual results or the changes in its expectations. In addition, certain of the financial information presented in this call references non-GAAP financial measures. The company's earnings presentation and earnings press release, which were issued this afternoon and are available on the company's website, present reconciliations to be appropriate GAAP measures. Finally, this conference call is being recorded via webcast. The webcast will be available at the Investor Relations section of our website at www.chromadex.com. With that, it's now my pleasure to turn the call over to our Chief Executive Officer, Rob Fried. Rob?
Rob Fried: Thanks Brianna, and good afternoon, everyone, and thanks for joining our first-quarter 2022 investor call. Since the beginning of this year, we've made some very important strides in building our Tru Niagen brand. Our new TV commercial, which many of you have seen, began airing in late March, and it was followed by the U.S. launch of our new product, Tru Niagen Immune in April. And we're very encouraged by the recent trends in the second quarter and have other brand-building activities on our road map later this year. Beyond the near-term brand-building initiatives, but strategic to our long-term plan, we were granted yet another U.S. continuation patent that significantly reinforces ChromaDex's intellectual property portfolio, which now is over 40 patents. The scientific momentum on Niagen has never been stronger. And as many of you have seen, we recently announced the results of a peer-reviewed study on Parkinson's disease patients. And there are now two additional clinical studies underway on Parkinson's. Importantly, the growing body of evidence on Niagen suggests with great consistency that metabolicly active tissues are heavily NAD dependent, including the brain, muscle, heart, liver, skin, among others, which continues to validate the tremendous market opportunity for Niagen. The science continues to show that Tru Niagen is certainly among the most important dietary supplements that people concerned about the way their bodies age should be taken. We began to scale the new TV campaign in the second quarter. So it did not have a material impact on the first quarter results which Kevin it will discuss in a moment. Our new commercial is now aired on major networks, including FOX News, FOX Business, CNN, the science channel, NS, NBC, ABC, Bloomberg TV SPN channels. As I said last quarter, this commercial is intended to educate a broader group of potential consumers about the benefits of taking Tru Niagen. Our marketing team took great care to distill the deep science behind our ingredient into a 30-second spot, based on extensive testing. While it is early, we believe the message is resonating with consumers and sales trends are encouraging in the second quarter. Later on the call, Kevin, will discuss some of the leading indicators of TV performance that we're tracking for our e-commerce business. As expected, this campaign is also improving brand awareness and sell-through at Walmart. Although the timing of this campaign is a little later than we had initially anticipated, the results are promising. Another exciting moment, we're seeing Tru Niagen featured on the April 25th episode of Dr. Phil during his interview with Brooke Burke. Brooke, as many of you know, is a celebrity health and fitness experts as well as one of our original Tru believers. And the segment was highly impactful, reaching over 2 million viewers and re-aired across several markets, driving an increase in sales and exposure for the brand. As I said, we also launched Tru Niagen Immune in April.  Our very loyal community asked for a holistic all-in-one daily immune supplements versus taking individual supplements. And based on that feedback, our launch of Tru Niagen Immune was targeted to existing U.S. subscribers as a companion to Tru Niagen, with the recommendation that both products be taken together. Tru Niagen Immune is a first of its kind, combination of proven immune boosting nutrition with NAD support via Niagen. And our TMOS scientist were meticulous and strategic in creating this formula to ensure high bioavailability and efficacy of the ingredients, and selected from the highest of quality suppliers. In addition, there's a larger market opportunity with Tru Niagen Immune. It helps us target consumers who are focused on a clear benefit, like immune health. And importantly, Niagen is the hero ingredients, so the emphasis is on healthy agent, which reinforces the Tru Niagen brand message. It's time to launch. Brooke Burke participated in several interviews highlighting Tru Niagen Immune for publications, such as Swimsuit Illustrated [Indiscernible]. Too early in the launch, and we look forward to sharing updates as it progresses.  Finally, we are working on initiatives to educate and consistently engage our consumers, including an expanded loyalty or brand ambassador program. We anticipate this will roll out later in the year. The science on Niagen is very promising, which Frank will discuss in a moment. I mentioned the recently published clinical study on Parkinson's, which will include two additional studies by the same group of researchers. In Phase II study, 400 patients will be given a gram of NR per day, while the Phase III study will administer the highest daily dose of NR in any clinical study to-date, at 3,000 milligrams per day.  We also made significant progress strengthening our patent portfolio this quarter our two recently granted NRT patents, add protection of the manufacturing process than our and its various salt forms through 2037. In short the process to manufacturing and our chloride or nitrogen requires the manufacturing process for NRT as an intermediate step. And the same is true for other salt forms and NR. We now over 40 patents on NR and other NAD precursors, and we continue to strengthen this portfolio. I'd like to also give a brief update on our new strategic partnerships. First, Sinophram Xingsha. We continue to finalize the commercial plans and supply agreement for initial cross-border sales, as well as our approach to pursuing Blue Hat approval in parallel, while we and Sinophram are eager to progress towards launch, recent bad debts due to COVID have slowed the progress. We've been impressed by their comprehensive plan to differentiate our science-based brand from NMN, a large and growing category in China. And we remain optimistic about the future.  My question other strategic partner in Asia is H&H Group. And they're close to launching the Swiss product formulation for Niagen for the China across board of market and Australian markets. It's early in the relationship and we are already in discussion about how to make the partnerships more impactful over time. And of course, we are having similar conversations with established strategic partners like Netflix. In the U.S. our strategic partnership with Designs for Health, a premium dietary supplement supplier and a health care practitioner channel, is off to a strong start, and they will offer specialty formulated products with Niagen, exclusively to these HCPs. As I said last quarter, Designs for Health will complement our internal sales and help us leverage the tremendous body of pre -clinical and clinical research on this amazing ingredient. And as many of you know, another U.S. partner, Ro launched Roaming Life and Tru Niagen in late 2021. We're engaged in discussions with their marketing team to share insights and how best to articulate the benefits of this incredible ingredient to our respective consumers. All of our new partnerships are in various stages of product development, but we expect them to contribute to increased sales in 2022. As I look at the Biz Dev team and the pipeline, I'm excited about the recent energy and initiative to grow the B2B side of our business. In particular, there's a renewed focus on building relationships with professional sports teams and athletes, as well as ongoing focus on healthcare practitioners, two key influencer groups that are important to our long-term strategy. The changes we're making internally are not designed to deliver short-term growth perhaps. But I believe they position us very well for an inflection in growth long-term. As I think about how far the Company has come and where it is headed, I'm very proud of our execution and more confident than ever about the market opportunity for Tru Niagen. Before I hand the mic over to Frank to talk about the scientific developments, I just want to make one quick comment about the macroeconomic environment in which we live. ChromaDex has shown in the past an ability to control costs and show financial discipline. We've been cash-flow break even without legal for several quarters in the past. Our existing customer base is extremely loyal. Our retention rates are very, very high. People who take Tru Niajen continue to take Tru Niagen. And if you take it for two to three months, you understand the benefits are there. Should the company need to put more focus and attention into the bottom line, we feel that we have shown that we can do that and we will do that. And we feel that the customers that we have established will be there with us. Now, I'd like to pass the call to Frank Jaksch, our Chairman and Co-Founder to share more about the promising research on Niagen. Frank?
Frank Jaksch: Thank you, Rob. It's a pleasure to speak to you all today. I hope you enjoyed hearing from Dr. Andrew Shao last quarter about the exciting strides that our ChromaDex External Research Program, or CERP, has made to help produce the trusted science behind Niagen, as well as to advance the understanding of NAD in health, diseases, and aging. I'm grateful to Andrew and has entire team for accelerating CERP 's mission, which I began 10 years ago. As we recently announced, CERP has amassed over 250 collaborative agreements with over 235 researchers globally. This includes over a 185 institutions in 33 countries representing over $85 million in estimated total research value. This is a remarkable milestone for any ingredient. Our CERP program was recently awarded the 2022 European NutraIngredients award in the Nutrition Research project category for pioneering research behind Niagen and NAD. It is a testament to CERP 's dedication to quality research and how we are pushing the boundaries of healthy aging science. According to their website, the NutraIngredients awards focus on true innovation, long-term market success, and cutting-edge research. We're honored to be recognized by NutraIngredients along with other industry leaders. Moving onto new and exciting research, I'll briefly highlight two clinical NR studies that we'll register recently. These built on our recent peer-reviewed, published clinical study on Parkinson's disease or PD patients that Andrew reviewed in detail last quarter. The Phase I study or NAD park study showed NR supplementation significantly increased cerebral NAD levels, improved some measures of motor function, and decreased inflammatory cytokines in PD patients. The results of the study, nominate NR as a potential neural protective therapy for PD patients, warranting further Investigation in larger trials. A second study, the no park study, is underway with the same group of researchers. The study will recruit 400 PD patients and administer 1,000 milligrams of NR daily for 52-weeks, the same daily doses, to smaller Phase I study.  Finally, a third study, the NR safe study, began recruiting a couple of weeks ago. The objective is to determine the safety and tolerability of NR at a daily dose of 3,000 milligrams in 20 individuals with PD to enable clinical studies assessing higher doses. The safety and tolerability of NR doses up to 2,000 milligrams daily have been tested in healthy humans with no signs of toxicity. So this is the highest dose tested in a clinical study to-date. All three clinical trials are randomized double-blinded placebo controlled and paralleled design studies. This is an exciting area of research on NR, and we look forward to learning more. In summary, ChromaDex's foundations is in science. It is in our DNA. Serbs 250 at collaborative agreements speaks to the great scientific interest in our ingredient NR, NAD, and its role in human health and aging. Importantly, beyond the academic research, we embed science and quality into all of our products since we believe that trusted brands like Tru Niagen start with trusted ingredients. With that, I'll pass the call on to our Chief Financial Officer, Kevin Farr. Kevin.
Kevin Farr: Thank you, Frank. ChromaDex delivered a solid quarter with total net sales of $17.3 million up 18% year-over-year, and a gross margin of 61%. With a significant litigation expense behind us, we are prioritizing investments in marketing, including our new Tru Niagen TV campaign that began airing in late March. While this is only one component of our brand building initiatives this year, and is still early, we're encouraged by several leading indicators in our e-commerce channel. This includes increases in organic searches and our new website visitors, growth in new customers on our own site, as well as recent trends on Amazon, where Tru Niagen is now frequently ranked as the best seller in the broader vitamin B3 category.  Moving forward, as we pragmatically increase our investments in TV and other top of the funnel marketing initiatives, we'll be focused on year-over-year rather than sequential trends in the business. In addition, as mentioned in the last call, we'll be focusing on adjusted EBITDA, including legal expense going forward, as a proxy for cash used before working capital investments. We've provided a reconciliation to GAAP measure in our earnings release slides. Total net sales in the first quarter of 2022 were up 18% year-over-year compared to the first quarter of 2021, with growth of 20% in Tru Niagen, including 13% growth in e-commerce and 43% growth in combined Watsons and other B2B sales. Our Niagen ingredient net sales were down 6% year-over-year. Gross margins decreased to 61% compared to 62.9% in the first quarter of 2021. The decline was primarily driven by business mix since we had lower sales to Watsons last year when shipments were impacted by supply chain disruptions. We also increased headcount in our supply chain to support growth.  Overall, this is a solid start to our full-year goal of slightly better than 60% gross margins, as product cost saving initiatives are currently offsetting inflationary pressures across global supply chains. If inflation remains persistent, we'll consider price increases to help offset higher costs. Selling and marketing expense has a percentage of net sales increased 510 basis points to 47.7% compared to 42.6% in the first quarter of 2021. We are experiencing higher costs for new customer acquisitions driven by broader industry trends, including changes in Apple's iOS that are impacting advertising costs and efficiencies primarily on social channels, as well as search. In addition, we're investing more in top of the funnel brand advertising that does not immediately drive conversions. This included incremental spending on television advertising to support our new Tru Niagen commercial that began airing in late March.  We have also more top of the funnel investments in Amazon compared to last year, including streaming television advertising on their platform, and tools to prospect to a broader audience of consumers across other supplement categories. For full year 2022, we'll continue to optimize these investments if we balanced brand campaigns with performance, or conversion marketing. As reported, general administrative expense was lower by a negative $600,000 primarily due to lower legal spend of $2.7 million, largely offset by higher severance expense, investments in technology and head count in key functional areas to support growth.  As expected, we incurred baseline legal expense of approximately $1 million in the quarter, as well as nominal expense related to post-trial motions in the California litigation, expenses related to the Delaware appeal and to the Thorne IPR. We expect the first-quarter will have the highest quarterly legal expense of 2022. Furthermore, the judge in New York recently ruled that Elysium should pay ChromaDex the $2.5 million negotiated settlement to resolve the California and New York litigations. While it's possible to appeal this decision, with no trial planned, we currently expect full year 2022 legal expense to be under $7 million. For the first quarter of 2022, our operating loss was $7.7 million versus $7.4 million in the first quarter of 2021. The net loss attributable common shareholders for the first quarter of 2022 was $7.7 million, or a loss of $0.11 per share, as compared to a net loss of $7.4 million, or a loss of $0.12 per share for the first quarter of 2021.  Finally, our adjusted EBITDA, including legal expense, was a loss of $4.5 million compared to a loss of $5.7 million in the prior year. Moving to the balance sheet and cash flow, our balance sheet remains strong. We ended the quarter with $21 million in cash, and we did not access our committed line of credit. In the first quarter of 2022, our net cash used in operations was a negative $7.2 million versus a negative $5.4 million net use of cash and operations in the first quarter of 2021. The difference year-over-year was primarily driven by our larger increase in our inventory to support growth, as well as a decrease in accounts payable due to the timing of payments to our vendors. As it relates to our 2022 full year outlook, we provided details on key metrics in our earnings press release, along with the slide presentation. There are no changes to our outlook since our last quarterly update. Consistent with our prior year outlook, we expect to invest in marketing, brand awareness, customer acquisition in R&D to maintain our position as the leader in the growing NAD plus market. Finally, as it relates to the second quarter of 2022, we see the following headwinds and tailwinds. The primary headwind relates to Watson's. The Omicron variant continues to have an impact on Hong Kong residents, although lessening of late. Due to this backdrop, Watson's is shifting approximately half of its shipments in the second quarter to the fourth quarter of this year. As a result, we anticipate the second quarter shipments to be approximately half for the first quarter 2022 shipments, but on a full year basis, our outlook for Watson's is unchanged. We've had success with the brand and influence your campaigns, as well as store staff incentive programs, in the fourth quarter of 2021. We have similar plans for the remainder of 2022 to help Watson's manage through these COVID-19 related headwinds. Importantly, we see emerging tailwinds in our domestic e-commerce business as a result of recent initiatives to drive greater brand awareness. We expect this will partially offset the Watson's head win in the second quarter. In absence of another large macroeconomic disruption, this momentum should continue through to the rest of 2022.  In summary, ChromaDex is the leader in the global NAD market, which is large and growing and we expect invest to maintain our leadership position. We think we're starting to raise awareness of a mass audience with our TV campaign, which requires an upfront investment in consumer education, which should have a near-term payback. I'm excited about our holistic approach to building the Tru Niagen brand, which emphasizes communication and customer education, including our new TV campaign, a loyalty or brand ambassador program that incentivizes our most engaged customers to recommend Tru Niagen and an expanded product portfolio that caters to different consumer needs, including our recent launch of Tru Niagen Immune. We're at various stages of implementing these initiatives, but are confident they would be in place before year-end. We expect to see accelerated growth exiting 2022 when all of these initiatives are in place. We have more work to do to capture Tru Niagen's full market potential. But I'm very proud of the work we've done to position the company for the next base growth. Operater, we're now ready to take questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from Brian Nagel with Oppenheimer. Your line is open.
Brian W. Nagel: Hi, good afternoon. Congratulations on --
Rob Fried: Hi, Brian.
Brian W. Nagel: A couple of questions. I mean, first address on the TV ad, how should we think about with TV? I mean, do you -- is there a plan here in the near-term to increase the frequency, add new ads? And then, if you could discuss a little bit more just on how you're tracking TV as a driver of improving demand or brand building here?
Kevin Farr: So let me take the second question first. Television is more difficult to attribute than digital media. So it's more challenging to understand the direct relationship between a TV spot and sales, particularly when we're selling in retail. But there are metrics that you can measure, one of the metrics you can measure is traffic to your website or even traffic to Amazon. And you can see the traffic and align that with the timing of the ad, and we're seeing dramatic increases in traffic on the website and on Amazon, and it coincides with when the ads air. You can also track the conversion rate at that time, and we're seeing dramatic improvements in conversion rate as well. So the ads seem to be working, and we're also encouraged by the sell-through that we're seeing, since the ads ran at Walmart. So these are the metrics that we're using. There's also over-the-top television. So streaming television, and there are more metrics that you can track. It's easier to attribute the airing of a spot to the conversion to a sale with OTT, and we're seeing that as well. And so what we're doing is we've been dramatically increasing the spend, but we're measuring as we go. And right now, we're encouraged and we expect to continue to increase. But there may be point in time where we pause,
Rob Fried: analyze the data, and then start again. But so far, what we're seeing is it was a good move and it's an effective spot. We also are testing other spots, so there may be complementary spots that we have behind it. We're also editing the one spot that we have and optimizing that. There might be some slight changes to the one that we have. So it's -- so the answer to the question is there are a handful of metrics that you can use, and we're using the ones that exist. The first question, what was the first question again? Or did I cover it?
Brian W. Nagel: Well, you answered. Just [Indiscernible] I was asking is basically, how should we think about the [Indiscernible] TV plan from here? Will there be additional ads? But you discuss that.
Frank Jaksch: Yeah. I had a couple of things. We're seeing increases in organic searches and new website visitors, growth in new customers on our own site, as well as strong trends on Amazon. And as Rob mentioned earlier, with regard to Tru Niajen, it's now frequently ranked as the best seller in broad, vitamin B3 category, and we continue to monitor these trends in e-commerce and update the outlook. We also saw recent POS trends at Walmart increase, substantially. However, the timing of the campaign is a bit later than we initially anticipated for Walmart, but we're seeing good POS lift at Walmart as a result of the TV campaign.
Brian W. Nagel: That's perfect. Then my follow-up question, just with regard to Tru Niagen immune, are you seeing is that a new customer or are you seeing existing Tru Niagen customers, so to say shift over to the new immune product?
Kevin Farr: It's existing customers, but they're not shifting over, they're taking both.
Brian W.Nagel: Got it.
Rob Fried: So we don't think it's cannibalizing Tru Niagen sales.
Brian W. Nagel: Thanks, guys.
Kevin Farr: Sure.
Operator: Your next question comes from Mitchell Pinheiro with Sovetec and Company. Your line is open.
Mitchell Pinheiro: Hello, there good afternoon.
Rob Fried: Hi. Good afternoon. Hey, Nich.
Mitchell Pinheiro: So with the TV. So can you talk -- can you -- how much are we spending on TV right now? Can we start -- can you give us some sort of baseline or is that going to -- you are keeping that closer to the vest?
Rob Fried: We're keeping it close to the vest, same with our KPIs because of proprietary performance measurements. So we will not disclose that to the marketplace.
Mitchell Pinheiro: Okay. When -- and as you look at TV, when you were coming into mid-term election year, that might get a little more TV -- more political ads, et cetera. Is that -- does that have a potential, have you looked at this as substantial crowd you out a little bit in Q3? Are you preparing for maybe a rate increase in ads? And can you talk about that a little bit?
Rob Fried: Well, there are a lot of factors that affect the rates of ads, and that's one of it -- one of them. But we're also seeing the impact of the economy of late. It's -- we're seeing that there's more available remnant ads on television playfully. So we think that if we're particular with the buys, certainly in the near-term future, there might be an opportunity. But it's hard to know. [Indiscernible] in the third quarter.
Mitchell Pinheiro: I mean, sometimes when -- in the last election cycle while the remnant and ad rates went up, the eyeballs were way above average, so you get what you paid for. But I was just curious from a budgetary point-of-view, whether that was included in your thinking for this year. So second question is just around, Rob, you talked about, obviously, your recurring customers. The retention is strong and you're obviously getting growth there. Was there new customer growth in the first quarter?
Rob Fried: What a surprise question, Mitch. Actually, we had the most dramatic increase in new customers over the last several months than we had seen in a couple of years. And it wasn't just related to the TV campaign, but the TV campaign did show a dramatic increase in new customers. Now, the, it didn't necessarily have an impact dramatically on the overall new customer revenue, because what we see is a lot of people buying the lower-priced skews like the single month and trying that out. But the number of new customer purchases over the last weeks and months has been higher than we've seen in a very, very long time. The question is, will these new customers have the same retention rate that we've historically had.
Mitchell Pinheiro: Why wouldn't they? You've had your new customers and your new -- your recurring -- the recurring customer growth has been probably pretty stable.
Rob Fried: Yes.
Mitchell Pinheiro: So why would you expect this new cohort of customers be any different? Is there any thoughts around that?
Rob Fried: There are a couple of possibilities why their retention rate might not be as high. One is, we find that when people take it for two to three months, that's when they seem to notice the impact on their physical performance and the retention rates there are much higher. So if somebody is just buying it for a month or even trying it for a few weeks, there's a greater likelihood that they're going to not reorder. And then the other is, the impact of television. These are people who are, in some cases less informed. They spend less time researching Tru Niagen. So we don't know yet, it's early yet. And again, we will measure and we will see what the retention rates are. But it's a very high number of new customers that have come in.
Mitchell Pinheiro: Okay. And then -- so are you saying with respect to the second quarter, it sounds like you said you were very encouraged by the recent trends. So the e-commerce growth is a little slower than I had thought in my estimate, and I was just wondering whether you might see Q2, maybe see a little acceleration, given all that you've talked about.
Rob Fried: Well, let me just say one thing about the first quarter. There's fewer days in the first quarter. And the way we're averaging per day, if you normalize the number of days in the fourth quarter and the number of days in the first quarter, I think you'd see -- you'd probably be closer to what you might have estimated. And then with regard to the second quarter, I'll let Kevin answer.
Kevin Farr: I think we talked about the second quarter in my discussion and we see the following headwinds and tailwinds. The primary headwind is Watsons. The Omicron variant continues to have an impact on Hong Kong residents, although lessening of late. Due to that backdrop, Watsons is shifting approximately half of its shipments in the second quarter to the fourth quarter of this year. As a result, we anticipate second-quarter shipments to be down about half of what it was in the first quarter. But our full-year outlook for Watsons is unchanged. We had success with the brand and influencer campaigns, as well as store staff incentive program in the fourth quarter of 2021, and have similar plans for the remainder of 2022 to help Watsons since manage through these COVID-19 related headwinds. Importantly, we're seeing emerging tailwinds as Rob just indicated in our domestic e-commerce business as a result of the recent initiatives to drive greater brand awareness. We expect that growth in e-commerce will largely offset the [Indiscernible] headwind in the second quarter, and in the absence of another micro economic disruption, this momentum should continue through the rest of 2022.
Mitchell Pinheiro: Okay. And then it's just one last question for me. Is just on the gross margin for the ingredients, little lower, is that -- is 50% the right gross margin, or was there some mix in there that caused the margin to be a little lower in the first quarter?
Rob Fried: I think the mix is around 50% to 55%, so nothing out of the ordinary with regard to the gross margins on that segment of the business.
Mitchell Pinheiro: Okay. Thank you.
Operator: Ladies and gentlemen, to allow time for all questions we do ask that you please ask one question and one follow-up. Your next question comes from [Indiscernible] with H.C. Wainwright. Your line is open.
Unidentified Analyst: Thanks very much for taking my questions. I was just wondering if you could first of all, provide us with maybe some updates on the Sinophram and Nestle Health Sciences front if you expect any noteworthy developments with respect to either of those collaborating companies.
Rob Fried: We are working closely with both of them. We are in constant discussions with them about ways to expand our business relationship. But we are very precise as are they in the terms and we hope to have something to say, but we don't at this time.
Unidentified Analyst: Okay. And then with respect to the outlook for pricing, do you think that there is potential for specific percentage price increases without seeing meaningful demand pull back, as we look at this ultra-inflationary environment that we're currently in? And if so, what might the magnitude of those percentages potentially look like? And would they be applicable across all SKUs or only some of them?
Rob Fried: [Indiscernible] one question, one follow-up, you got like four questions in there. The answer is yes, we don't know yet exactly how much, but we do think that we can increase the price without having a meaningful impact on retention or conversion. We're looking at that presently. We don't know exactly what that number will be. And the answer to the question, could it be across all customers and consumers? No it probably can't be across all, but most.
Unidentified Analyst: Yeah. Thanks.
Kevin Farr: I think with regard to gross margins, consistent with Rob just said, we’re trying to maintain our strong gross margins just slightly better than 60% in 2022, which is similar to the 2021 levels. It's driven by continued supply chain cost savings initiatives. We've got those initiatives in flight, and we also, most recently, have been looking at other design changes that could help us have an incremental savings in 2022. We're seeing overall scale on our business. We're seeing favorable mix, which is [Indiscernible] setting. We are seeing some inflationary pressures across our global supply chain. And I think if there are consistent pressure that we are considering a price increase, as I said in my prepared remarks, if inflation remains persistently high.
Unidentified Analyst: Thank you very much.
Operator: Your next question comes from Sean McGowan with ROTH Capital. Your line is open.
Sean McGowan: Thank you. Hi, guys.
Rob Fried: Hi.
Sean McGowan: Couple of questions to clarified things. Can you talk a little bit about the timing of the increases in R&D that you expect to see? And will that be primarily in the consume segment, or are you looking for increases and other segments as well?
Kevin Farr: I think it's going to be over the year. I mean, I think it's going to be as we get each quarter or that you should see a slight increase. And then with regard to, I forgot the second question, Sean.
Sean McGowan: Will it be concentrated in the consumer segment or are you looking for an outside increase in any of the other segments?
Kevin Farr: Yes. The consumer segment mostly.
Sean McGowan: Okay. And then my other follow-up slash clarification question. Just on this Watsons shift, when you say half of what it was for the first quarter, do you mean just the shipments to Watsons? That's what's shifting none of the -- and when you say it's half, you mean just Watsons, right?
Kevin Farr: Yeah. Just Watsons.
Sean McGowan: Okay.
Rob Fried: Sean, I just want to also contribute to Kevin's answer to your first -- previous question, if you don't mind.
Sean McGowan: Please.
Rob Fried: I just -- we recognize how significant ChromaDex's investment has been and continues to be in the R&D in the science, in the intellectual property, and in protecting others from stealing our shareholders’ intellectual property. And we recognize that it is very, very important for us to monetize that investment. And it is quite conceivable that the monetization of that intellectual property and that science that we have will not be a direct consumer product. And it is something that we've discussed and work on.
Sean McGowan: Okay. Thank you. Appreciate that
Operator: Your next question comes from Bill Dezellem with Tieton. Your line is open.
Bill Dezellem: My question will have parts A through Z and the follow-up will only be A through M. Let us begin if we may with your comment that was pretty tantalizing what you just said there, that it may not be a consumer product. Would -- I'm not asking you to disclose earlier than you want to, but could you give us some indication examples that might fall under that category, please.
Rob Fried: So the laws are very clear as most people listening know that if you're a dietary supplement company and you're selling a dietary supplement that is therapeutic or prophylactic for a disease you cannot make that claim or imply that claim. Everybody here who is followed the company knows that we had studies on COVID and now see that we had this fairly interesting study on Parkinson's disease. So it is conceivable that there will be some sort of drug approval on either one of those indications at some point in time. And if that's the case, there is a business opportunity for ChromaDex either in a licensing arrangement or a joint venture or a partnership arrangement of some sort. But the science continues to impress us and others about the effectiveness of nicotinamide riboside towards various disease states.
Bill Dezellem: That's helpful, and I'll attribute that question to you Rob, since you brought it up with the last question. So I do, in all seriousness, have a couple more. First of all, relative to the Turkey COVID study that we're so successful, what's the update there or is there an update relative to Turkey? And can the results from that study be used in China by Sinopharm?
Rob Fried: The results of that, when you say, can they be used, I'm not sure what you mean exactly.
Bill Dezellem: If they would be able -- if Sinopharm would be able to market them.
Rob Fried: No, they will not be able to make that claim. We still have to get with Sino's assistant regulatory approval to sell inside of China, and we are working on that. And we think we have a great partner in pursuing that in Sinopharm. In terms of their cross-border initiatives, if and when that deal closes and they take over that, that's still not a claim that they'll be able to make in their cross-border sales into China, COVID, but they will be able to use it in other ways. For example, it will be part of their dossier or their dossiers in order to obtain regulatory approval there because it's an example of excellent science that shows that nicotinamide riboside is both safe and has been shown effective.
Bill Dezellem: That is helpful. And then, relative to the Turkey update?
Kevin Farr: We have not received a Turkey update. Even still, I know the quarters go by, and we don't have an update there. There have been a lot of challenges that have gone on in Turkey. I think I read recently the over 60% inflation rate.
Rob Fried: Yeah, and I think the same would go for the study on Parkinson's. I mean, Sinopharm could use that also.
Kevin Farr: Yeah. For sure.
Bill Dezellem: Great.
Kevin Farr: We don't have an update in Turkey for the drug application.
Bill Dezellem: Super. And thank you for that. And if you will allow, I would like two more questions, please. The supply chain headcount increase that you referenced in the press release to scale the business, when will that be happening and what's the behind the scenes as to why? And then my second question is you referenced new partners that are not included in the guidance. Relative to those new partners, how would they fit into your current ecosystem?
Rob Fried: I'll answers supply chain first. So we've added those bodies in 2021 to keep up with demand and complexity and supply chain as we're going into different territories, or more customers, or a differentiated product lineup. And it's not a significant amount of people, but it is something that is impacting the supply chain costs.
Kevin Farr: Any other question?
Rob Fried: Do you have a follow up?
Bill Dezellem: New partners with the -- the ecosystem that you currently have of partners?
Rob Fried: Okay. What was the question?
Bill Dezellem: How will the new partners that you are in discussions with in the pipeline fit into the current ecosystem of partners?
Rob Fried: I'm having trouble tracking the mental gymnastics of that one, Bill.
Bill Dezellem: No worries. I know that you're not going to have a new partner that is directly competing with Sinopharm, for example. So there are essentially holes in your partnerships or distribution system that I'm suspecting that you're wanting to build out or fill out. And that's where I'm trying to get some understanding of where you think that these new partnerships that you're evaluating may fit in?
Rob Fried: Well, we think the opportunity for nicotinamide riboside, and Niagen -- Tru Niagen specifically in China is significant. And you know that we've been saying that for a year now or less. But it is an important initiative by the China government to manage the conditions related to aging. They have a rapidly aging population, they expect in the coming years to have 600 million people over the age of 60. And that's one of the reason Sinopharm is so interested and has been interested. But in order for us to take advantage of the opportunity, not only will we be partnering with Sinopharm, but there might be other partners that get into the mix as well. We are taking our time, and have been taking our time as many of you have pointed out, to put together the right strategy, the right partners and the right infrastructure to take advantage of that opportunity, and we think we're very close.
Bill Dezellem: Great. Thank you for taking all the questions and for your patience with my lack of clarity on the last one.
Kevin Farr: Great questions. Thank you, Bill
Operator: There are no further questions at this time. Brianna Gerber, I turn the call back over to you.
Brianna Gerber: Thank you, Stephanie. There will be a replay of this call beginning at 04:30 PM Pacific Time today. The replay number is 18007002030, and the conference ID is 4126168. Thank you, everyone for joining us today and for your continued support of ChromaDex.
Operator: Thank you. This concludes today's conference call. You may now disconnect.